Operator: Good afternoon, ladies and gentlemen, and thank you for holding. Welcome to Dyadic International’s First Quarter 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. My name is Jessica and I will be your conference coordinator today. As a reminder, please note that this call is being recorded. At this time, I would like to introduce your host for today’s call, Tom Dubinski, Dyadic’s Vice President and Chief Financial Officer.
Thomas Dubinski: Thank you, Jessica. Good afternoon and thank you for joining today’s conference call to discuss Dyadic’s results for the quarter ended March 31, 2017, which were reported in the press release issued earlier today. The press release and Dyadic’s quarterly report have been posted to both the Dyadic and the OTC Markets websites. I’m joined today by Dyadic’s President and Chief Executive Officer, Mark Emalfarb, and Dr. Ronen Tchelet, VP of Research & Development. On today’s call, Mark will cover operating highlights, further details on our corporate strategy, and a summary of our research and business development efforts. I will close with a review of our financial results in more detail. We will then provide you an opportunity to ask questions. Dr. Ronen Tchelet, our VP of Research & Development will join – Mark and I during the Q&A to answer questions directed to him. Each caller will be allowed one question and one follow-up question in order to provide all callers an opportunity to participate. If time permits, the operator will allow additional questions from those who have already spoken. Before we begin, we would like to remind you that certain commentary made in this conference call may be forward-looking statements, which involve risks and uncertainties that could cause Dyadic’s actual results, performance, scientific or otherwise or achievements to be materially different from any future results, performance or achievements expressed or implied by these forward-looking statements. Dyadic expressly disclaims any intent or obligation to update any forward-looking statements except as required by law. I will now turn the call over to our President and CEO, Mark Emalfarb.
Mark Emalfarb: Thank you, Tom. Good evening, everyone. I believe we’ve accomplished a great deal since we successfully transitioned our industrial enzyme business to DuPont in April 2016. In less than a year, we have developed meaningful interest in the C1 technology from half of the top 10 global biopharmaceutical companies and a great many more across the bioscience sector. We’ve executed confidentiality agreements, and in certain cases, we’ve entered into material transfer agreements, allowing C1 to be more widely tested in a research setting and under certain control standards. As we discussed in our last conference call in March 2017, the company started an initial small research program with one of the world’s largest pharmaceutical companies to demonstrate the potential of the C1 technology to produce glycosylated therapeutic proteins. I’m pleased to report that last week, the company entered into our second small research program with yet another of the world’s largest pharmaceutical companies to demonstrate the potential of the C1 technology to produce therapeutic proteins. This work is anticipated to begin in Q2 2017, and is fully funded by the pharmaceutical company. The proof-of-concept research projects help defray some of our research expenses as we continue to develop and demonstrate the potential of our C1 technology for use in developing and manufacturing biologic. We are hopeful that through the results of these project, along with the data being generated from our internal research programs, we will be able to develop a more meaningful relationship with these pharmaceutical companies, as well as others and successfully introduced C1 has the potential of next-generation expression system and what we believe will be a superior platform to existing expression systems IHO, bacteria and yeast. Additionally, we would anticipate entering into one of more third-party funded research programs collaborations with, at least, one other leading biopharmaceutical company by the end of the year. We are receiving favorable responses from our targeted business development efforts with Tier 1 and Tier 2 biopharma companies, who are interested in evaluating how C1 may help them speed up the development, production and performance of biologic vaccines and drugs at flexible commercial scales. It is not uncommon for these companies to insist that these arrangements not be made public. We intend to announce any programs, collaborations we enter into. However, most likely will be prohibited from disclosing the specific terms of the agreements, as well the name of the company. We will always respect these terms and conditions as we continue to develop these strategic relationships. We continue to push in every relevant door and our business development efforts to really haven’t missed a beat since we last reported our year-end 2016 progress. We continue to pursue research and development collaborations, licensing arrangements, and other commercial opportunities to further leverage this human technology and raise its profile. By attending, speaking and making presentations to the biopharmaceutical industry at various conferences, as well as holding business development and scientific partnering meetings with interested parties within industry and government. We have also held workshops and brought potential partners in collaborative onsite to our CRO facilities to present both the CRO’s and C1’s capability to potential collaborators. In fact, Matthew Jones, Ronen and I just returned from the PEGS Boston Conference, where Ronen made a presentation on C1 and we spent five very long day meeting with leading pharmaceutical and biotech companies at the conference and outside the conference within the biotech Boston community. Matt and I will also be attending the Annual Bio Conference in June, and we are already setting up meetings in bio with interested parties. We continue to highlight the vast potential to further develop our C1 technology, including strain and manufacturing process development into a safe and efficient expression system that may help speed up the development, production and performance of biologic vaccines and drugs. The company has updated its website and marketing materials and presentations to appropriately message, promote and detail C1’s attributes, capabilities and fit for potential biopharmaceutical applications. These efforts have resulted in the company securing, at least, 30 confidential disclosure agreements, CDAs to-date, which has led to the two research agreements we’ve already signed and a variety of other potential collaboration and research deal discussions with a number of the top global biopharmaceutical companies, as well as various biotech companies. Importantly, since our Dutch Research Center was sold in connection with the DuPont transaction, we needed to establish flexible arrangements to carry on our research and development efforts. As we previously announced, we entered into a multi-year research and development agreement with a third-party research organization to further advance their C1 technology platform for use in biopharmaceutical development and production in September 2016. This research collaboration is targeting the development of highly productive C1 strains in fermentation processes and the accompanying associated molecular tools to produce a number of targeted therapeutic proteins for Dyadic, as well as for potential third-party biotech and biopharmaceutical companies. Currently, this research program is on or slightly ahead of schedule in its objectives and milestones. Under our agreement with DuPont, we have the right, but not the obligation to carry out our research at our former Dyadic Netherlands Research Center, and we have been doing so. We continue to participate in and carry out research in expressing antigens within the EU’s ZAPI research collaboration and in our own internal research projects, where we are working on expressing ranibizumab, a biosimilar version of Lucentis. On a positive note, in connection with a ZAPI program, one of the company’s C1 expressing antigen was tested in a very small mice trial within the ZAPI project. Preliminary results indicate that the C1 produced antigen generated an immune response in mice that protected the mice and no negative effect on the health of the mice was observed. We are encouraged by these new preliminary positive immunogenicity result as they reinforce the previous positive immunogenicity result, and will reach with an antigen that was developed in the prior Sanofi Pasteur Research Program that ended last year. However, we know that this was an initial trial with a limited number of mice and not necessarily indicative of the results of subsequent trials, including those with larger population samples may produce. We believe that if we are able to timely produce efficient quantities for certain antigens, which we are still working on the ZAPI program, we anticipated more immunogenicity testing to C1 produced antigens will be conducted sometime during the next several quarters. As we discussed on our last conference call in March, in addition to the ongoing research at DuPont in the multi-year third-party CRO previously discussed, we are evaluating and anticipating entering into a additional research and development agreement by the end of the second quarter of 2017. This research group has experience in the development and commercialization of vaccines and scientists and business development personnel who have extensive prior experience applying C1 recombinant DNA approaches, and applications, as well as fermentation development and scale of work. We also anticipated that this group would carry out additional work, including CGMP growth in media development, coupled with fermentation optimization to further improve yields in vaccines, antibody, and therapeutic proteins. Dr. Bose, Ronen and Matt have been onsite visiting with this research group to facilitate and evaluate how best to implement a strategic investment. The primary rationale for this commitment includes the acceleration of certain proof-of-concept research and data generation, which we utilized to support our business development and licensing efforts. We anticipate identifying, at least, one animal health for human biopharmaceutical product candidate through the research carried out with this group. We also anticipate potentially licensing one or more product candidates to third parties either on our own or in conjunction with this research group. The total commitment with this research group is expected to be approximately €1.9 million over two years. Further, we believe that this will potentially allow us through this entity or otherwise to apply for EU and other government grants that can help partially cover the cost of our research programs, as we further accelerate in advance to C1 technology platform and animal health and human biopharmaceutical product candidates. Additionally, we’ve been working with a small San Francisco-based biotech company whose goal is to validate C1’s ability to express novel antibodies. The success of this collaboration may enable the C1 production to enter into a new potential area of post-classical monoclonal antibodies. Another collaboration is with the University of Iowa’s Center for Biocatalysis and Bioprocessing. One of the goals of this collaboration is to demonstrate new and improved C1 fermentation methods using continuous bioprocessed monitoring. These efforts will focus on increasing protein yield and assessing the ability to maximize protein production yields to glucose-controlled enabled by real-time monitoring, using an RTB Bioprocess Monitor from ACL Analytical, Inc. These CRO arrangements in research collaborations provide the company with additional research and development capabilities and competencies, including direct and random genetic manipulation, OMICS in fermentation optimization, as we believe the data generated within these partnerships one has the accessibility to develop C1 into a robust production platform for various types of biological vaccines and therapeutic proteins. Recently, we’ve begun to think about how C1 might be used to help speed up the production of proteins to enable pharmaceutical companies to more rapidly characterize and identify potential new drug candidates. We believe that C1’s novel growth characteristics coupled with its potential to express sufficient quantities of monoclonal antibodies and other proteins in microtiter plate make this an attractive opportunity for further consideration. This advantage is clearly demonstrated, innovative pharmaceutical companies made up, the C1 platform is an additional tool and a drug discovery programs earlier than they may otherwise consider bringing C1 Host for drug development and productions. We are extremely optimistic about our future and our ability to create value for our shareholders, driving our own research and development programs and two collaboration agreements with big and small biotech and biopharmaceutical companies. The bottom line is that the research programs we are targeting and then we’ve embarked upon are being carried out in order to further develop and demonstrate the utility for the C1 technology platform, for the biopharmaceutical industry for their use in developing and manufacturing biologic vaccines and drugs. The message is reaching the market, and the market appears to recognize the need for cell replacement, as we have signed two research agreements and we have a pipeline of other advancing discussions with other top tier pharmaceutical companies. Through these research and business development efforts, we hope to create exponential value for our shareholders. I’m very pleased to report that our professional liability litigation is behind us. As we previously announced on March 1, 2017, we reached the confidential settlement with the last remaining defendant law firm Greenberg Traurig LLP and Greenberg Traurig PA in our ongoing professional liability litigation. On April 14, 2017, the company received the full settlement payment in the amount of $4.4 million, net of legal fees and expenses. In our view it’s all about driving the value of the C1 technology, which is based on our current share price and market has not as ascribed any value to. So far we have varied preliminary data, which shows we are able to express certain biologically active vaccines and antibodies using our C1 technology. However, we need to generate additional data, which clearly shows C1 potential to express biologic vaccines, antibodies and other therapeutic proteins at much higher yields and with the right properties under CGMP manufacturing conditions. If the science develops, as we expect, we will reassess our strategic alternatives, which could include continuing to build the business organically, entering into licenses of the C1 technology, and M&A transaction or the outright sale of the business. We are in an enviable position as we do not need any additional capital to fund our planned R&D efforts, enabling us to avoid the significant cost and distraction of an uplisting, which would otherwise be required to raise funding for our strategic scientific programs. We’re laser focused obtaining the necessary data, which we hope will create significant value for our shareholders Our effort to monetize our technology will not be open ended. We anticipate by mid-year 2019, if not sooner, we would be in a position to determine how successful our research and business development efforts are and be in position to evaluate what are our alternatives are at that point. On April 6, 2017, the company announced that effective June 1, 2017, Mr. Stephen Warner will resign from the Board of Directors and all related Board committee towards he served, which include the audit committee, compensation and nominating committees to the board. Mr. Warner served in our Board of Director since October 2004 and we thank him for his service. We successfully completed our share buyback program on February 15, 2017. And in addition, we acquired two separate large block of stock in January 2016 and in January 2017. Combined to-date, we acquired 12,364,322 shares at an average weighted price of a $1.54 for an aggregate purchase price of $18,972,828. We currently have 28,703,168 shares outstanding. At March 31, 2017, we had $43.6 million in cash and securities. In addition, we received $4.4 million litigation settlement on April 14, 2017 that was net of expenses and legal fees, and we expect to receive approximately $7.4 million on the DuPont sale escrow on July 1, 2017. We continue to be very well-capitalized even after repurchasing approximately $19 million of our shares to February 15 2017. We’re clearly building very good momentum. As I talked about early, we already have two of the largest pharmaceutical companies funding certain research programs and to demonstrating C1s value proposition to meet their scientific business goals and objectives. We’re in various stages of discussions with several other top tier pharmaceutical companies about funding additional research programs aimed at further developing C1 targeting the respective needs. Our science is continue to advance in the molecular tools used to modify the C1 cell lines for use in developing and manufacturing biopharmaceuticals by growing and becoming more efficient. We have assembled a superb research team to help us deliver on our research and development programs. We remain optimistic and when fully developed, the C1 technology will be able to help bring biologic drugs to market faster, in greater volume, at lower cost, and with new properties to drug developers and manufacturers, and, hopefully, improve access and cost to patients and the healthcare, but most importantly saving lives. I’m very excited with the opportunities we have and this is further supported what we hear back from the biopharmaceutical community regarding C1 potential to fill a critical need in the industry for a more productive host production organism and show to develop and manufacture biologic vaccines and drugs. I’ll now turn the call over to Tom Dubinski, our Chief Financial Officer to discuss the financial results.
Thomas Dubinski: Thank you, Mark. At March 31, 2017, cash and cash equivalents and investment grade securities, including accrued interest was approximately $43.6 million, compared to $50.5 million at December 31, 2016. Cash and cash equivalents do not include the approximately $7.4 million of cash held in escrow in connection with the DuPont transaction, which we anticipate to be released in July of 2017 if no claims are made prior to such release. On April 14, 2017, the company received the litigation settlement payment of $4.4 million net of legal fees and expenses. The settlement amount was reported in other income for the quarter ended March 31, 2017. Net increase in cash and cash equivalents for the nine-month period ended March 31, of approximately $1.1 million, principally reflects $7.5 million of cash proceeds from maturities of investment grade securities, net of purchases and premium paid, and cash received from interest earned of $600,000, partially offset by cash used for the repurchase of common stock of $5.7 million, litigation costs of approximately $600,000, and all other cost used in operations of approximately $700,000. On February 15, 2017, the company successfully completed its one-year 2016 Stock Repurchase Plan from January 1, 2017 through February 15, 2017, the expiration date of the 2016 Stock Repurchase Plan, the company purchased 3.7 million shares in both open and private transactions at an average price of $1.55 per share. At March 31, 2017, the company had approximately 28.7 million shares outstanding. Net income for the three months period ended March 31, was approximately $2.1 million, which includes the litigation settlement of $4.4 million net, or $0.07 per basic and diluted share, compared to a net loss of 900,000, or $0.02 per basic and diluted share for the same period a year ago. Research and development revenue and cost of revenue for the three months period ended March 31, 2017 reflected the activities of the ZAPI program and a new confidential biopharmaceutical research collaboration project started in December of 2016. For the three months ended March 31, 2017, the company recorded a $210,000 provision for contract losses. The amount reflects the increase in the total estimated research costs due to the company’s extended involvement in the ZAPI program. The reported loss will be accredited into the statement of operations over the term of the contract. Research and development expenses for the three months period ended March 31, increased to approximately $320,000 compared to $245,000 for the same period a year ago. The increase principally reflects the cost of biopharmaceutical contract, research initiatives and personnel related costs. General and administrative expenses for the three months period ended March 31, 2017 increased to approximately $1.8 million, compared to $900,000 for the same period a year ago. The increase principally reflects new employment agreements for executives of $391,000, litigation costs for trial of $369,000, financial reporting costs of $115,000, and biopharmaceutical business development costs of $99,000. These increases were partially offset by a lower board compensation costs of $76,000 due to the formation of the Special Committee of the Board in 2016. Interest income for the three months period ended was approximately $116,000, reflecting returns earned on the company’s investment grade debt securities, our cash per share including the – included the $43.6 million of cash and securities held at March 31, the $7.4 million DuPont escrow funds, and the litigation settlement of $4.4 million received subsequent to the quarter ended was approximately $1.93 per share. We reiterate the previous cash per share guidance we shared in the March 2017 call, which we currently project will be in the range of a $1.68 to $1.72 at the end of 2017. Now I’d like to turn the call back to our operator to take questions. Jessica.
Operator: Thank you. [Operator Instructions] We’ll go first to Steven Rafael, a private investor.
Unidentified Analyst: Hi guys.
Mark Emalfarb: Hi Steven.
Unidentified Analyst: Can you hear me okay?
Mark Emalfarb: Yes, we can, thanks.
Unidentified Analyst: Okay, Mark, can you discuss the competition out there and with regard to that, what kind of patent protection do you have? Maybe discuss the strongest patents that you think you have and what kind of expiration dates these patents have? I mean, you have been doing this for a while, and ultimately someone, Dyadic or somebody else is going to want to – if this is successful proof of concept, is going to want to take this to the next step and start trials and go to the FDA and all that stuff takes a lot of time. So I’m just wondering what kind of patent protection you have and what kind of competitions is out there?
Mark Emalfarb: Yes, the competition, let’s address it first. A lot of competition in bacteria, yeast, CHO cells, so different levels of competition. Certain cell lines like bacteria can’t make glycoproteins at least naturally, so there is a variety of other expression systems out there. We did believe that C1 has the attributes and the properties that puts it to the top of the class and gives people the confidence that with the synthetic biology and the genomics and OMICS or the other tools that are out there today and getting better, quicker, faster and cheaper, it can be applied as cell line, that’s been proven industrially to be productive, robust and versatile and scalable, and this is the cell line you want to work with to get to the future. And of course as we’ve talked about, we have two pharmaceutical companies putting their toes in the water, spending money, looking at Dyadic, evaluating that and a variety of others that we are in discussions with. In terms of IP, there is a variety of IPs that are irrelevant. The IP that we had initially dealing with cellulase enzyme to stonewash blue jeans, nobody cares about, it’s got nothing to do with the wood doing anyway. The IP that relates to the white cell, the low cellulose background, those patents were followed more recently and a lot of those patents also cover protease knockouts, and pharmaceutical proteins are sensitive to proteases. So, one of the benefits that we have is in those later patents is that the protease minus the deleted strain of C1 are covered there. And then we have the DuPont, we’re actually the owner of these patents and we’re the licensee of them for pharma and a co-exclusive license with the exclusive rights to Dyadic to sublicense. So, between DuPont and what they are doing with C1 and what Dyadic is doing with C1 for potential licensees will do with C1 and apply new better quicker molecular tools, modifying cell lines towards human biologics, vaccines and antibodies, we’ll be creating all kinds of new IP. So, the IP is not really my major concern. And as I’ve talked about before, this is a living cell and you have to prepare it from nature, modify it in a step-by-step function. It takes years even if I gave you the starting cell to do all those things and tens of millions of dollars to attempt it. So, we’re advancing something that’s further down the road, that if somebody wanted to start out at the beginning, it would take tens of millions of dollars to attempt to do it, a lot of time and scientific limitations that we had that they might not have, and then again you’d have the IP overlying it all. So, hopefully that answers your question.
Unidentified Analyst: Thanks, Mark.
Operator: [Operator Instructions] We’ll go next to Barry Kitt with Pinnacle Funds.
Barry Kitt: Hi, guys. Tom, can you tell me what was the burn in the first quarter if you take out anything relating to the lawsuit?
Thomas Dubinski: You know Barry, I don’t have that number handy. I mean, I have the full year burn overall if that’s what you’re trying to get to the bridge to.
Barry Kitt: Yes, I can’t get to $1.68 or $1.72 or anywhere close to that, so that’s what I’m trying to figure out. Can you take us a second and …?
Thomas Dubinski: Yes, we finished the first quarter at $1.78 per share and the litigation settlements worth $0.15 that gets you to the adjusted $1.93. We’re projecting around $0.21 of burn in the last three quarters and of approximately $1.72, we’ve sighted the guidance of $1.68 to $1.72 because the wildcard is how successful will we be with science and the milestone payments in connection with the R&D effort.
Barry Kitt: Sure, I understand. So I’m looking at $1.93 a share adding the legal settlement minus $1.70 at the end of this year using the midpoint of your $1.68 to $1.72. It comes to 23 [ph] times 28.7 million shares is $6.6 million burn in the last three quarters of the year. That’s an $8.8 million per year burn rate and that’s significantly higher than the roughly $5 million that you have been projecting a while back. Mark, why don’t you take a stab at trying to help me understand why the burn would go up to $8.8 million annualized rate?
Mark Emalfarb: Let me try to fill in the blanks. So as I mentioned during my talk here today that we’re investing €1.9 million – not investing, we’re contributing €1.9 million to research programs over two years. It’s time to build that cash out, but we’re not actually spending it, you know all this year it’s going to go out for 18 months or two years for those programs. So he is using that number because we’re putting that in an advanced paying for research in the budget that way, €1 million of that money…
Thomas Dubinski: It’s a prepayment.
Mark Emalfarb: Right.
Thomas Dubinski: For future R&D.
Mark Emalfarb: So we’ll be picking up those expenses, a lot of those expenses in 2018 for that, but he is using that cash as a conservative. The other thing he did is he built in milestone payments to the third-party research institute that could be quite substantial that in fact if they hit those milestones we’re happy to pay. So, if they don’t hit those milestone, then we won’t have to pay that cash, but he has put that in a conservative measure. So I don’t think that we’re burning any more money than we told you we were going to burn or expected to burn. I think there is just some built-in scenarios that might force us to pay based on successful research to come sooner than we expected and he is prepaying the R&D for the 18 months to two year project all in this year’s cash. So, hopefully that takes you down $1.5 million or approximately in dollars to maybe $1.8 million less.
Barry Kitt: Okay, I’ll have to process that. I think that – I think you’d still burn the money strong, but in any case the stock is 21% below your $1.70 midpoint year-end cash level, which is kind of silly and again, I don’t understand why you don’t have a buyback in place with $55 million in cash.
Mark Emalfarb: Barry, I’ll address that, because I think for the question you asked last time, okay.
Barry Kitt: Yes, that’s great.
Mark Emalfarb: We did speak to two sets of lawyers and because Dyadic is a microcap stock and we have material information that’s going on just for example, like the agreement we just signed with the second pharmaceutical company, the discussions that we have going on with other pharmaceutical companies that we’re aware of. If we put a program in place we can’t really easily modify the pricing of it. And then the other thing is, assume we spend $15 million over the next two years of our cash, right. We would end up with just taking a number off the top of the head, you know $35 million or $40 million in cash and if we actually bought back another $10 million or $15 million or $20 million in stock, we’d have $5 million in cash. And when we want to go out and find a way to leverage the technology, we’re going to get a lot bigger bang for our buck exponentially with a strong balance sheet and we’re looking weak with $5 million, we’ll look a lot strong with $25 million or $30 million to the pharmaceutical partners and we won’t be getting – taking advantage of and we could be patient instead of being forced to do things that we don’t need to do.
Barry Kitt: By the way if you spend $15 million over the next two years, which I hope you won’t; but if you did, that would come to exactly $1.40 a share at the end of that two years, which is where the stock is now. So that’s giving you no benefit for building any value in the C1 platform between now and then or any potential revenues or license fees from anybody.
Mark Emalfarb: And by the way we, in the last conference call, that’s exactly what we said. We estimated that we would be approximately $1.40 per share or thereabout on 12/31/2018, but of course that’s subject to change, depending on obviously if we bring in more revenue and/or spend more money on research to accelerate programs.
Barry Kitt: And that was before the settlement on the lawsuit, that estimate?
Mark Emalfarb: Actually that I guess it was before that, but I think we’re shaping something in for that.
Thomas Dubinski: Yes.
Barry Kitt: Okay, thanks guys.
Operator: [Operator Instructions] And we’ll take a question from [Skip Goshe] [ph] with Cluny Road Rental.
Unidentified Analyst: Yes, hey guys how are you doing? Mark, you mentioned on the last conference call that you felt that this was going to come to an end, by the end of 2018 and what I mean by the end, these were your words, is you said that, we are going to look to sell it at 1X, 2X, 5X, 10X whatever the number is, depending on what the technology does, we’re always weighing our options whether the deal is right for the shareholders, you being the biggest shareholder. Taking that into consideration and kind of piggybacking on what Barry said, Barry is saying, why aren’t you buying in stock back? And I understand what you just – what your answer was to him. But I want you to kind of clarify it a little bit better for the shareholders as far as, do you think by having, I’m going to give you an example. If you bought stock back and you had, I’m just using a number $10 million left in cash. And then all of a sudden a biotech wants to but you and the cash is attractive, plus the technology is attractive that you figure having $30 million or $40 million in cash plus that technology, that extra $30 million is going to compound exponentially because of that cash. Would you take me through that please?
Mark Emalfarb: Yes, so we will have a much larger option for our opportunities to not just do a deal with a major pharmaceutical company, but potentially leverage what we have with what somebody has, we’re two plus two not only in the cash, technology wise is exponentially more valuable to them of having more cash on the balance sheet, more willing to give us whether it’s cash or shares or exchange, a higher value than they otherwise would if we had $5 million or $10 million. Because they may have a research program where they need to spend more money to push forward the combined entity. So, in addition to that alone, just when you’re sitting in negotiations with large pharmaceutical companies, if they smell that you’re going to run out a cash or need cash, they’re going to take advantage of that situation. And you know, we’ve had discussions with companies in the past and been taking advantage of because of the situation we were in, but guess what? We’ve had discussions now where we’ve actually said, we have the money to actually execute on our plan, without getting any money from you guys. If you want to join the journey and participate in the opportunity, which we think is vast and wide and then it’s really, really attractive, then it’s under the terms and conditions that are good for both parties. And so having more cash in the balance sheet, we think at least at the moment gives us a bigger bang for an eventual sale, licensing, negotiations that we would have if we continue to burn and spend and buyback shares. I mean last year we bought back $19 million of stock and so that was nice and we had the excess cash and we actually bought $4 million more than we said we would, because we said we were going to buy $15 million. We ended up buying back $19 million. And we may or may not decide to buy more back at some other time as well. But right now the Board is constantly looking at and evaluating the opportunities in front of us and we’re taking a breath and we’re looking at what the possibilities are and there is a lot of possibilities and we have a lot more possibilities with a balance sheet the way we have it versus spending a bunch of money to get a 5% or 10%, you know or more stock purchased back, because I don’t believe that with the price we’re at today, there is a lot of stock out there to buy at $40 or less.
Unidentified Analyst: Dealing from strength and I get it. Okay, thank you.
Operator: And I’m showing no further questions at this time and will now turn the call back to Mr. Emalfarb for closing comments.
Mark Emalfarb: Thank you Jessica. We are very excited about our potential research and development opportunities in the pipeline and we believe 2017 will be one of our most important years for C1 technology and for Dyadic to grow in the pharmaceutical sector. I want to take this opportunity to thank our very hardworking employees and consultants and our dedicated Board of Directors, research partners, shareholders and collaborators for their support. And thank all of you who have taken time to participate on today’s conference call.
Operator: This concludes our program for today. You may all disconnect.